Operator: Good morning. My name is Cherie and I'll be your conference operator today. At this time, I would like to welcome everyone to Sandstorm Gold Royalties Third Quarter Conference Call. All lines have been placed on mute to prevent any background noise. Please be aware that some of the commentary may contain forward-looking statements. There can be no assurance that forward-looking statements will prove to be accurate as actual results and future events could differ materially from those anticipated in such statements. After speakers' remarks, there will be a question-and-answer session. [Operator Instructions]. Thank you. Thank you. Mr. Watson, you may begin your conference.
Nolan Watson: Well, thank you, Cherie, and good morning, everyone, and thank you for calling into this third quarter earnings call. This morning Erfan Kazemi, our CFO is going to walk us through the Q3 results and then David Awram is going to provide us a brief update on a few of the assets. And then as usual we will turn it over to the operator for a question-and-answer period. And if anyone has questions that don't necessarily need to be part of live Q&A, they can be asked through the web portal and we will ensure that each question we get there will get a direct response after this call. Before we do that, I would like to provide a brief business update. And at this time, we're going to be walking through a prepared PowerPoint presentation on the web portal. So if you're able to, please turn your attention there now. From a high level perspective our gold equivalent ounces produced this quarter were up approximately 20% over the same quarter in 2018 and we had record production of approximately 17,300 ounces which when combined with the increase in the gold price resulted in over US$25 million in terms of revenue. This increase in production came from strong results throughout the entire portfolio, including from new assets that we recently had come online, such as Equinox’s Aurizona project.  On this next Slide number 5, it’s encouraging to see the company’s transformation year-over-year in operating cash flow adjusted for changes in working capital from over $11 million in Q3 2018 to now over $18 million in Q3 2019. What we’ve been purposely building in Sandstorm is a business capable of generating substantial amounts of free cash flow and quite candidly we’re excited to see it coming to fruition with record cash flow this quarter.  Over the last few months most of the questions that we've been getting from investors relate to how we're going to allocate this cash flow going forward with the four main ways that we can allocate it being; number one, more acquisitions; number two, debt repayment; number three, share buybacks; and number four, dividends. And although it's hard for even me to know how we’re going to allocate it on a monthly basis, I do believe over the next few years, we will be allocating cash flow to all four of those options. Last quarter I mentioned on our quarterly call that we’ve taken a brief pause on our share buybacks and shortly after I said that the price of gold pulled back and so did the share price of most gold companies including ours. And when our share price pulled back, we began resuming our share repurchases. You can see from this graph that we have now completed repurchasing nearly 11 million shares leaving just over 7 million shares remaining to complete our stated objective of repurchasing 18.3 million shares.  If our share price were to pull back again, we would not hesitate to step into the market and repurchase shares and we do hope we can complete this entire share repurchase program. Once it’s complete sometime next year, we will look at instituting a dividend and we’ll weigh that against potential share buybacks depending on our share price. Because our free cash flow is now significant we believe we can both return capital to shareholders and continue to grow our portfolio of streams and royalties.  In fact, during the third quarter, we did exactly that and we now have over 190 streams and royalties in that number and we will continue to grow.  Our corporate development team is currently quite busy looking at a variety of potential acquisitions and we are confident that will be able to continue to make smart acquisitions that are accretive to our shareholders. And although it's true that gold prices are higher now than they were this time last year and therefore gold mining companies with active operating assets are less likely to sell gold streams and royalties, what we’re seeing is that base metal companies are still struggling and looking for streams and royalties, and exploration companies, even most precious metal exploration companies are not able to raise enough capital to continue exploring their assets at a reasonable pace. And we’re seeing the opportunity to purchase royalties on exciting assets.  Overall I'm excited with the business that we’ve built, the amounts of cash flow that we’re now generating, the amounts of growth that we have already purchased and we expect to come online over the next few years, as well as the acquisition opportunities that we plan on taking advantage of in the future.  And so that’s the business update. With that, I’m going to hand things over to Erfan to discuss the quarter results. Erfan?
Erfan Kazemi: Thank you, Nolan and thank you to everyone who are joining us today. On our last quarterly conference call we discussed our record gold production and revenue for Q2. And I mentioned that I felt that we wouldn't need to wait long before we saw the next record. Well, here we are already. As Nolan mentioned, this has been another record breaking quarter for Sandstorm in a number of areas. I'll start by looking at some key financials. So if you could please refer to Slide 8, I'll walk you through a summary of the results.  Production for the quarter totaled 17,289 attributable gold equivalent ounces sold, resulting in total revenue of approximately $25.8 million. This represents a 21% increase in ounces and a 49% increase in revenue when compared to the third quarter of 2018. The increase in production was partially due to the commencement of commercial production at the Aurizona mine, which was announced back in July. With this project coming online, Sandstorm now has 23 producing assets in its portfolio.  Other notable growth factors include the second silver delivery from the Cerro Moro silver stream, and an increase in ounces sold from the Santa Elena mine. In addition to the increase in gold equivalent ounces sold, a stronger gold market throughout the quarter contributed to a record revenue. You'll see in the chart the average realized gold price for the quarter was $1,491 per attributable ounce. This is the highest average gold price we've seen in over six years, an increase of nearly $300 per ounce compared to Q3 2018.  On the opposite side of the equation, our average cash cost per attributable ounce increased slightly to $288 compared to last year. However, they still provided healthy margin of over $1,200 per attributable ounce, an increase from $960 per ounce during the same quarter last year.  The last two lines show cash flow from operations for the quarter at $14.3 million, an increase from the previous year, and net income of $6.2 million. In addition to the revenue increases I've already mentioned, a $2.1 million increase in gains were recognized on the revaluation of the company's investments, partially driven by the change in fair value of the Americas Gold and Silver convertible debenture. This was partially offset by $3.5 million increase in non-cash depletion expense and a $1.4 million increase in cost of sales, primarily driven by an increase in the number of attributable gold equivalent ounces sold. On the next slide, we have our top 10 producing assets. For the second quarter in a row Yamana’s Cerro Moro mine came out on top. Coming online in April this year, the Yamana silver stream added over 3,000 attributable ounces to our production. This was followed by close second from Santa Elena at 2,900 ounces. The notable addition here is the previously mentioned or Aurizona mine, which reached commercial production in July.  The company has a sliding scale NSR royalty on the Aurizona mine, ranging between 3% and 5%. At gold prices equal or less than $1,500, Sandstone’s NSR is 3% and at gold prices between $1,500 and $2,000 the royalty increases to 4%. We're excited about this addition of another producing asset from a quality operator. Equinox Gold expects the project to produce 75,000 to 90,000 ounces in 2019. We’re also optimistic about the exploration outside Aurizona and Equinox Gold has already indicated they are focused on exploring various targets to extend the mine life. Sandstorm’s 23 producing assets provide good diversification across our portfolio. This next slide shows how these assets break down by jurisdiction. At 51% the majority of our revenue is coming from North America this quarter, while 35% came from South America and 14% from other countries. Finally, my last chart shows the summary of results from the last four quarters. As we can see we're trending in the right direction in terms of both production numbers and revenue. We're also seeing a nice upward trend in the gold price, which has contributed to making this another strong quarter for Sandstorm. I believe we are seeing the fruit from a lot of hard work that has gone into building the company over the last several years. And with more projects coming online in the near future, it is certainly an exciting time to be a Sandstorm shareholder.  Based on these financials, I'm pleased to say that we are on track to achieving our guidance and are reiterating our forecast of 63,000 to 70,000 attributable gold equivalent ounces sold in 2019. Our long-term forecast is 140,000 attributable gold equivalent ounces in 2023. And with that, I'll pass it over to Dave.
David Awram : Great, thanks very much Erfan. So in Q2, we had Cerro Moro come online and in Q3 Aurizona has begun, and in Q4 we’re expecting to see Fruta del Norte pour gold. So Sandstorm has had relatively stable growth over the year and seen those record sales that have been discussed. However, I'm going to discuss a few of the new changes to a couple of bigger projects this quarter.  I'll start with Chapada, which Lundin Mining completed their acquisition of in July. Lundin has wasted little time in outlining the importance of the asset to their future growth. Now focused with copper as the priority, Lundin is improving recoveries and doing more exploration based on really the red metal as opposed to Yamana who is focused on the gold. It’s great news for us as our stream is clearly on the copper from project. Lundin is ramping up an already aggressive exploration programs, they can successfully plan for future production expansion. There's a planned investor trip for November, which will likely provide additional insight as to where the Lundin is focusing on in the future. Chapada has been and still remains one of our most important revenue streams.  So on to one of my favourites in the portfolio Aurizona where Equinox had their first full quarter of commercial production. Here they produce primarily from the lower grade stockpile but at a throughput rate higher than the nameplate capacity of 8,000 tons per day. Q4 we will see more ore sourced from the main Piaba pit. So a higher grade is expected. Despite the lower grade material at Aurizona, in Q3 all-in sustaining cost was $1,053 per ounce. So next quarter we expect the mine to be even more profitable for Equinox.  That's great to hear since they're back to focusing on exploration in the Eastern extension of the property, an area called Tatajuba. This is a 4 kilometer strike link targets where mineralization is roughly the same as what they see at the current Piaba open pit. Equinox expects to complete the 6,000 meter drill program here with the goal of a maiden resource in Q1 2020. Personally, I walk this ground as far back as 2009 and I could tell at that time that Tatajuba was a clear extension of the mineralization just to the Eastern Piaba but because of permitting issues, it has sat for almost a decade. The first drilling that Equinox performed and has showed results as good or higher than found at Piaba. So I can't wait to see first resource from that area. In addition to exploration at surface for additional open pit material, Equinox was also advancing studies for potential underground mining at Aurizona. So we will keep our eyes for news on that aspect of the project too.  For my last project update I’d like to speak about one of the exploration company Sandstorm is involved with, Sun Peak Metals is a new company with projects in Northern Ethiopia. Although a new company with projects in the Nubian-Arabian shield, their experience there is nothing but extensive. Greg Davis and his team have been discovering VMS deposits just to the North of the border in Eritrea for over 15 years. The team at Sun Peak was responsible for the discovery of the famed Bisha mine and the large Asmara project, both of these are greater than 50 million ton deposits and ranked among the largest VMS projects discovered worldwide in the last 20 years. The Sun Peak team is at it again, but in a jurisdiction that is far better for cost and taxation in Ethiopia.  Over the last few years they’ve accumulated four great properties in several rocks that are not just the same Nubian shield but actual extensions of the rock units in which they discovered mines before. Sun Peak has been completing surface work, generating high priority targets and is now using tried and trusted discovery methods to come up with new drill targets.  Drilling will begin the end of 2019 but continue into 2020 and we're really excited to see the results coming in from their team. Sandstorm has purchased royalties on the properties in the portfolio and has ROFRs on future streams and royalties if they are to discover another huge deposit.  So with that, I'll pass the call over to Cherie to begin with the Q&A session.
Operator: [Operator Instructions]. Our first question is from John Tumazos with John Tumazos Very Independent Research. Please proceed. 
John Tumazos: I wanted to just thank you for your good results, your service to the company. Congratulations on all the good news. I’d like to encourage you to institute a dividend because it will help the market recognize your good performance. Could you give us an update on Hod Maden's regulatory progress, prefeasibility study or other developments?
Nolan Watson: First of all, thanks very much, John, we appreciate it. Hod Maden continues to move forward and maybe Dave can walk us through and give a bit of an update on where they are at.
David Awram: Sure. So thereto, they’ve been accumulating property in the area. They're going through the permitting process as we speak and then working on the feasibility study. So everything is really kind of progressed well. I think we talked about this on the last call. They have submitted an EIA on the idea of permitting the underground concentrate producing mine. So they are currently working on that with the government. The feasibility studies are well underway. They've established really what the sites will look like and they've locked in some of these processes. So everything really is on track for that -- for 2020, Q1 2020 to complete the feasibility at this point. So it's really kind of -- it's moving along on the process, it's kind of not a lot of new news tends to come out for any project that gets to this -- at this time. But it's moving along to the schedule that we've been talking about over the last several quarters here.
John Tumazos: If I could ask a second question. Could you give us a flavor for how you monitor the projects you've invested in. And I know you're not supposed to manage the projects. But how you offer suggestions or help? I'm thinking of another company whose call was two hours ago. They didn't do well. I think they changed out the management and now it's doing even worse. I mean at Guyana. And fortunately, you don't have a case study like that. But how do you monitor and help the companies whenever they fall on a rough patch?
Nolan Watson: Yes, so it's a quite a balancing act that we have because we -- me personally, we want our corporate development team to have access to our technical team for future acquisitions. We’re a growth company. We're always growing and we have limited resources. We have a very high quality technical team. And so balancing the time and attention of that team between things that we're looking to acquire, and offering advice and help to companies where we've already acquired a stream and royalty is a balancing act that we normally do. Because of that, we tend to focus only on helping the companies that we have larger stakes in that are more economic to us. And our team goes through a process of identifying areas where companies are struggling and will do site visits to understand why they might be struggling. Right now fortunately, the majority of things in our portfolio are performing very, very well which is why we're having record quarters. There's not really any problem children in the portfolio that we're actively helping any of our partners on. But in the past, we have had to do that, and we'll do that again in the future. And so I guess to summarize, we focus on things that are larger and more material for us and we do it when they start getting into trouble. We offer help to companies and sometimes they listen and sometimes they don't and that's okay.
Operator: [Operator instructions]. Our next question is from [Dick Van Ernen], private investor. Please proceed.
Unidentified Analyst: Several observations or questions. Do you do a revaluation, an asset-based revaluation on a quarterly basis? I've noticed that for the last several quarters and it’s had significantly positive impacts on the bottom-line in both of those quarters.
Nolan Watson: Yes, so we’ve got a lot of accountants in here, and we would love to answer questions like that on a detailed basis. But we don't want to bore everybody with all the accounting. From a high level perspective, all of our streams and royalties are held on a historical cost basis in the currency, the functional currency of the operating subsidiaries. So those things don't move around in our functional currencies. Things in Turkey for example Hod Maden does move around because of currency translation adjustments and those changes go through other comprehensive income, not through net income. The only assets that get mark-to-market are derivatives and other short-term securities. And so we had a little bit of a mark-to-market gain on some convertible debentures held in companies like Equinox and America Silver and so that helped net income a little bit this quarter. But the vast majority of our balance sheet does not get mark-to-market.
Unidentified Analyst: I see what's going on with the gold and the sales of gold. What impact does the silver sales have on the bottom-line in this quarter?
Nolan Watson: Yes, so the vast -- basically all of our silver sales are from the Cerro Moro stream and we're getting maximum quarterly deliveries from that stream. And so it was an important contributor to this quarter but we got the same number of ounces this quarter as we did last quarter. So the records that we received were not because of the silver. 
Unidentified Analyst: So that the maximum this quarter was the same as it was last quarter and projected to be similar in the future? 
Nolan Watson: Correct. 
Unidentified Analyst: Okay. And is that Turkey situation -- is that pretty vulnerable?
Nolan Watson: We're not seeing any evidence of anything that will negatively affect the project, if anything, things that are going on in Turkey are maybe slightly negatively affecting their currency which is making it cheaper for our partner Lidya Madencilik to operate and get things done. And the feasibility study is on budget and moving forward on time. So we haven't noticed anything of positive effects from what's going on in Turkey so far.
Operator: Our next question is from Cosmos Chiu with CIBC. Please proceed.
Cosmos Chiu: Thanks, Nolan, Dave and Erfan. Maybe just one question from me here in terms of the overall competitive landscape. Nolan, you talked about opportunities, you talked about development projects, even base metal companies. But I'm just wondering how would you categorize the quality of some of these opportunities? And then the second part of my question is, when I talk to some of the bigger royalty and streaming companies it seems like they're coming downsize in terms of what they're looking at. Are you seeing any kind of competitive -- increased competitiveness competition coming from some of those for the bigger streaming and royalty companies? And in the end, what's your sweet spot in terms of what Sandstorm is looking at in terms of deal size? 
Nolan Watson: Yes, so I guess I'll answer the last part first. And we are looking at deals anywhere from $1 million or $2 million all the way up to several hundred million dollars and we're looking only at things right now that we can do with our existing balance sheet. We're not looking to raise any equity, but we've got a deal pipeline that's quite full. I guess to answer your question, the first part of the question, we walk our Board through like we do every quarter corporate development update and it is about six pages long, the things that we're looking at and at various conversations. So I would categorize the competition in our industry as fairly high, it's higher than it was three years ago. But the other forms of capital that are out there are less available, including equity to those companies. So streaming and royalties is becoming a bigger and bigger important part of how the mining industry plans finances itself. And so, although there are more streaming and royalty companies, the need for capital is even higher than it was a few years ago. So the pipeline is robust. We’ve grown the number of streams and royalties that we had every single year in the history of our company and we don't see based on our current deal pipeline not being a problem going forward. 
Cosmos Chiu: Maybe switching gears little bit, now that Chapada is under Lundin’s ownership, do you see any kind of potential changes in terms of how we should look at that stream? Lundin is planning to develop the Chapada as more of a primary copper asset. Is there any kind of potential in terms improvement in near-term copper deliveries under this scenario?
Nolan Watson: I would say that we will expect to get the same amount of copper that we’ve been receiving going forward for the next few years. There is a maximum number of copper pounds that can be delivered to us under that contract for a finite period of time. And there is a small step down in that copper stream in terms of percentage that we purchase. When that stepped down happens, the maximums go away. And so I think the increased production will become a good thing for us because when the step down happens our actual production might be more similar to what we are receiving today which is a good thing, and it has a very, very long mine life. So we’re encouraged to see investing in both exploration but also plant expansion et cetera.
Cosmos Chiu: Maybe one last question from me here in terms of the dividends. You talked about capital allocation, dividend being one of the options out there. I guess it's still fairly early stage but is there a yield that you're targeting? Some of your competitors out there, they always target say plus 1% dividend yield to make sure that they can appeal to certain investors out there. How would you look at that Nolan?
Nolan Watson: Yes. I want to be careful not to put the cart before the horse in the sense that the Board decide to issue dividend and then they will have to decide what form they do it in. I think the discussions that we’ve had internally is so far are more along the lines of what you see from a Franco-Nevada or Royal Gold as opposed to trying to get too fancy calculation mechanisms about how to pay the dividend. And I think the philosophy that Royal Gold and Franco-Nevada had for years was start with a low dividend, that’s around 1% yield, but they’ve increased it every single year over and over and over again for very long periods of time. And so we want to make sure that when we do start paying a dividend even if it’s not a high yield, it’s one that we are confident that we can continue to grow our business. And we’ll continue to grow our dividend every year. 
Operator: Thank you. This concludes our question-and-answer session. I would like to turn the conference back over to management for closing remarks.
Nolan Watson: Well, thanks, Cherie and thank everyone for calling in to the call today. And as normal we will be around here if you have any further questions, please give us a call. And hope you have a great day. 
Operator: Thank you. This concludes today's conference. You may disconnect your lines at this time. And thank you for your participation.